Operator: Good afternoon, everyone, and thank you for joining us for the Interpace Diagnostics conference call to review the company's financial results and operations for the fourth quarter and for the year ended December 31, 2017, as well as recent developments. The earnings release detailing the year-end and fourth quarter results were issued just after 4:00 p.m. Eastern Time today and should be available on Interpace's website at www.interpacediagnostics.com. 
 Before we get started, during the course of this conference call, the company will make forward-looking statements. We caution you that any statement that is not a statement of historical fact is a forward-looking statement. This includes remarks about the company's financial projections, expectations, plans, beliefs and prospects. These statements are based on judgment and analysis as of the date of the conference call and are subject to numerous important risks and uncertainties that could cause actual results to differ materially from those described in the forward-looking statements. These risks and uncertainties associated with the forward-looking statements made in this conference call are described in the safe harbor statement in today's news release as well as Interpace's public periodic filings with the SEC, including the discussion in the Risk Factors section in our Form 10-K for the year ended December 31, 2017, which is expected to be filed early next week. Investors or potential investors should read these risks. Interpace assumes no obligation to update these forward-looking statements to reflect future events or actual outcomes and does not intend to do so. In addition to supplementing the GAAP numbers, we have provided non-GAAP information. We believe that these non-GAAP numbers provide meaningful supplemental information and are helpful in assessing our historical and future performance. A table reconciling the GAAP information to non-GAAP information is included in the company's earnings release, which is available on our website. 
 Now I'd like to turn the call over to Jack Stover, President and Chief Executive Officer of Interpace Diagnostics. Please go ahead, sir. 
Jack Stover: Thank you, Shannon. Good afternoon, and thank you for joining us today. With me is Jim Early, our Chief Financial Officer. I will begin the call with an update on our progress, both for the year 2017 and to date. We will then review our financial performance for the year and for the fourth quarter of 2017 compared to the prior year. Following that, we will open the call for your questions. Let me remind you, before we begin, of our mission, as I will on all calls. 
 We are a fully integrated commercial and bioinformatics company that provides molecular and diagnostic tests and pathology services to evaluate the risk of cancer by leveraging the latest technology in personalized medicine for better informed clinical decisions and improved patient management. As you may know, we currently have 4 diagnostic tests commercialized on the market. PancraGEN is the first and only U.S. commercially available molecular and bioinformatics test for evaluation of pancreatic cysts and assessment of risks of concomitant or subsequent cancer. ThyGenX is our next-generation sequencing test for cancer risk assessment of thyroid nodules that improves preoperative diagnostic accuracy by providing physicians with greater confidence to ruling cancer for indeterminate thyroid nodules. ThyGenX is typically combined with our ThyraMIR assay, which is the first microRNA gene expression classifier for thyroid nodule identification. When ThyraMIR is used in combination with ThyGenX, the 2 tests have both high sensitivity and specificity that corresponds to clinically actionable outcomes in a single testing service, providing what we believe is a superior solution. Our fourth commercial product, RespriDX, is a molecular test that differentiates between primary lung tumors and metastasis by identifying the unique molecular fingerprint of a tumor using a series of tumor markers and loss of heterozygosity. Discerning whether a lung tumor is newly formed or metastatic is useful in determining what course of action physicians should take as -- example is either surgery, chemotherapy or something else. 
 In terms of our performance, we made significant progress in 2017. Most importantly, we grew our top line revenue by 40% in the fourth quarter compared to the fourth quarter of last year. Additionally, year-over-year, we grew our top line revenue by over 21%, while also improving our gross profit margin by 10% for the year due to continued efficiencies from economies of scale as volume grew and a reduction in our royalty obligations. 
 We also eliminated all of our long-term debt and related royalties and milestones and increased our stockholders' equity to approximately $40 million at the end of the year as compared to $6.5 million at the end of 2016. Most importantly, our cash balance at the end of the year 2017 was over $15 million. 
 Our revenue gains were led, once again, by: continued growth of our thyroid franchise, including ThyGenX and ThyraMIR, but were also supported by the consistency of PancraGEN that has been our anchor and on the market for over 8 years; new commercial coverage was announced during 2017, with a contract with Aetna for both ThyGenX and ThyraMIR; new coverage by the UnitedHealthcare and Oxford Health Plans for ThyraMIR; and new coverage by CIGNA for ThyGenX. Further in 2018, new coverage for both ThyraMIR and ThyGenX has been initiated by several regional Blue Cross Blue Shield plans, adding to our portfolio of payers for our thyroid franchise. 
 Total covered lives in the U.S. health care system for our thyroid franchise now exceeds $280 million, including Medicare. Other commercial progress also included the renewal of our joint marketing agreement with LabCorp and the commencement of a new revenue Laboratory Services Agreement with ARUP, a national reference laboratory with one of the broadest menus in the industry. As mentioned on our last call, we launched our newest molecular test, RespriDX, in September of 2017. RespriDX compares the genomic fingerprint of one lung tumor to that of a second lung tumor using a panel of 25 DNA markers with the intent of characterizing a nodule as metastatic or as a new primary carcinoma. RespriDX already is referenced in the guidelines, which is very important and has the Medicare -- and is covered by Medicare Advantage as well as by multiple private payers. 
 Our fifth test, BarreGEN for Barrett's Esophagus, is developed and currently being soft launched with key opinion leaders as we gather data on this assay that will assist us in seeking favorable reimbursement. Presently, BarreGEN has no formal reimbursement. Barrett's Esophagus, however, is a rapidly growing diagnosis that is considered an epidemic and affects over 3 million people in the U.S. Over time, Barrett's Esophagus can progress to one of the most deadly cancer risk, esophageal cancer. BarreGEN is a molecular risk classifier that helps position -- differentiate between patients at high-risk of progression from those at low-risk of progression prior to the onset of esophageal cancer and well before observable changes in the cells. We believe that BarreGEN can be a significant opportunity for us and we plan to seek development [Audio Gap] and abroad. 
 During 2017, we accomplished several very important and critical financing and restructuring milestones that significantly improved our balance sheet and better positioned our company for the future. By means of 4 separate equity offerings and a warrant exercise transaction, we raised approximately $30 million in capital. 
 We also entered into an agreement to effectively repay over $9 million of secured debt outstanding by April 2017 and terminated all related milestones and royalty obligations related thereto. Again, today, we are 100% long-term debt-free. 
 In 2017, we continue to generate supportive clinical evidence to reinforce our diagnostic assays. Specific developments include commencing a multisite study to provide further evidence of the clinical utility of our ThyGenX/ThyraMIR test to accurately identify malignancy or benign status in indeterminate thyroid nodules. We presented 6 posters with scientific data at DDW meeting, 3 posters support the clinical utility of PancraGEN in assessing long-term risk of malignancy and 3 posters supported the clinical utility of PancraGEN as an ancillary test for solid lesions of the pancreas and bile duct using the company's unique method. We presented new data based on actual clinical results for 3,471 patients tested with our ThyGenX/ThyraMIR assay at the Annual Meeting of the American Thyroid Association. And we also presented 2 publications at the WCOG American College of Gastroenterology, ACG, related to the risk of pancreatic surgery and the risks associated with regeneration of cells in patients receiving radio frequency ablation. 
 Several additional recent developments have further supported our growing recognition as an up-and-comer in the molecular diagnostics and bioinformatics space: the selection by G2 Intelligence, the official publication of the laboratory industry report of Interpace Diagnostics as the "Company of the Month for September 2017"; the designation by CIO Applications magazine of Interpace as one of the top 20 companies in 2017 for providing bioinformatics solutions to their customers through the company's extensive database; and the acceptance of 5 abstracts presented at the U.S. and Canadian Academy of Pathology, USCAP, in Vancouver, British Columbia in February of 2018. 
 With that, I'd like to turn the call over to Jim Early, our CFO, to discuss the financial highlights more specifically in the fourth quarter and for the year. Jim? 
James Early: Thank you, Jack, and good afternoon, everyone. Today, I would like to focus on some key elements in our financial statements. Net revenue for the year and fourth quarter of 2017 was $15.9 million and $4.4 million, respectively. These represented 21% and 40% increase over the comparable periods of the prior year. The principal reason for our revenue growth was our thyroid franchise, both in units and reimbursement improvement. 
 As you may know, a portion of our revenue in accordance with GAAP was accounted for on a cash basis during 2017 while we have been establishing reimbursement among certain payer groups. And as explained in our 10-K report to be filed early next week, we are adopting ASC 606 effective January 1, 2018, where all of our net revenues will be stated on the accrual basis, and this has been accomplished primarily by means of measurements of collection histories for all our payer groups. 
 Our gross profit for the year and fourth quarter of 2017 was $8.5 million and $2.7 million. These represent a 33% and a 103% for the quarter improvement over the prior year, principally due to increased volumes and the reduction in royalty obligations. Sales and marketing costs for the year and fourth quarter of 2017 were $6.6 million and $2.1 million as compared to $5.5 million and $1.3 million for comparable periods of the prior year. The increase reflects additional sales reps and other investment spending in sales and marketing to support additional reimbursement coverage and our revenue growth. 
 Research and development costs for the year and fourth quarter of 2017 were $1.5 million and $0.3 million as compared to $1.6 million and $0.3 million for the comparable periods of 2016. 
 General and administrative expense for the year and fourth quarter of 2017 was $9.2 million and $2.7 million as compared to $10.5 million and $2.8 million for the comparable periods of 2016. 
 We also had several significant noncash accounting charges during the year summarized as follows. In the fourth quarter of 2017, we recorded a noncash charge of $2 million in other expense, representing the fair value of additional warrants issued at $1.80 per warrant in exchange for the exercise of already outstanding warrants, resulting in proceeds of $5 million with certain investors and warrant holders. 
 In conjunction with our debt exchange, whereby we eliminated all of our current debt in exchange for stock earlier in the year, we incurred a noncash charge of $4.3 million. 
 During the year and first quarter of 2017, we had changes in the fair value of our contingent consideration, originally established upon the acquisition of RedPath and related to the settlement in 2017 of obligations under the RedPath contingent consideration agreement, amounting to $5.6 million of charge, noncash, and a positive $0.2 million for the year and fourth quarter of 2017, respectively. And in the prior year, $11.9 million charge and $10.7 million charge for the previous year and the fourth quarter of 2016, respectively. These summarized the major noncash charges in our financial statements. 
 Accordingly, net income or loss for the year and the fourth quarter of 2017 was negative $12.2 million and negative $5.0 million as compared to negative $8.3 million and positive $6.3 million for the comparable periods of 2016. As we noted in our earnings release and discussed above, we often refer to adjusted earnings before interest, taxes, depreciation and amortization, or EBITDA, a non-GAAP financial measure, which the value -- which -- this is done in evaluating our cash usage. We define adjusted EBITDA for purposes as income or loss from continuing operations, excluding interest, taxes, depreciation and amortization expenses, as well as cost relating to revaluing of contingent consideration, stock-based compensation, asset impairment, fair value loss on extinguishment of debt and other noncash charges. 
 Our calculation of adjusted EBITDA for the year and the fourth quarter of 2017 was negative $7.1 million and negative $1.6 million, respectively, as compared to negative $10.5 million and negative $2.9 million for the same periods of 2016, demonstrating further improvement in managing our cash spend, even as we grow our business. 
 Further evaluating cash flow shows that the net cash used in operations, including nonrecurring items such as discontinued operations, financing costs and vendor catch-up payments for the year ended December 31, 2017, was a usage of $15.3 million as compared to a usage of $7.6 million in 2016. Additionally, net cash provided by financing activities was $29.9 million in 2017 as compared to negative $0.1 million of cash used in net financing and investing activities combined in 2016. 
 Our stockholders' equity grew from $6.5 million at the end of fiscal 2016 to $39.9 million at the end of 2017 and our cash position was $15.2 million at the end of 2017 versus $0.6 million at the end of 2016. So quite an improvement in our cash position. 
 With that, let me turn the call back to Jack and Shannon, our operator, for questions. 
Operator: [Operator Instructions] We have Jason McCarthy with Maxim Group. 
Jason Mccarthy: Jack, could you give us a breakdown of the revenues between thyroid PancraGEN and RespriDX? And specifically about RespriDX, I'm curious, I know it launched in, let's call it, late 3Q '17. What are your projections? Or what is the company thinking that uptake for this diagnostic will be going forward? 
Jack Stover: Well, Jason, thanks for the question. First of all, the launch with RespriDX, and I think some people know this, RespriDX was actually in our portfolio for some time. We just did not actually market it, and some of that was a function of the limited capital we had at that time. But what's happened behind the scene is as reimbursement has expanded and in fact the guidelines have been very supportive of this technology, we decided to launch it late in 2017. We have one sales rep, or I guess I'd call him actually a sales manager, that's out developing the marketplace. So our expectations around this, at least for the near term, is relatively modest. And so even as we look at 2017 in terms of revenue, RespriDX is not a significant part of it. Overall, at least in the past, we have not really given a breakdown between the 2 revenue groups of thyroid and pancreas. But broadly speaking, if you look at those 2 revenue groups today, they're roughly about 50-50. As I said before, PancraGEN has been an anchor for us, and it's been relatively stable, really proud and happy to see it increasing in 2017. But by far, the greatest growth we've had has been in the thyroid franchise. 
Jason Mccarthy: Okay, great. And can you discuss just a little bit about what that -- the soft launch of BarreGEN is looking like? What are the plans to expand uptake? And what is the reimbursement landscape looking like for BarreGEN in terms of not only just payers, but also physicians that are looking to adopt this diagnostic? 
Jack Stover: Yes. As I said on the call, we really do not have any stable reimbursement today for BarreGEN. Even though it's on basically the same platform as our pancreas assay and actually the same platform as our RespriDX assay as well. So we have gotten some feedback from our regional MAC, Novitas, that basically said they like and respect the assay. They need more data. So we're looking to collect more data. And that's really what our soft launch is all about, additional data to be able to support incremental reimbursement or additional reimbursement. What we do know though, Jason, is that esophageal cancer is really a fast-growing segment of the cancer arena. It's getting a lot of attention. And what we believe we have with our assay in BarreGEN is we think we have a very unique molecular evaluation as to determining the progression of patients that could be treated in a much more aggressive way. But if, in fact, we're able to tell them at an early stage that this is a patient that is highly unlikely to progress to metastatic cancer, then doctors and health care systems will treat them differently on a lower cost basis as well. That data is what we're developing and pulling together right now. And I can't say exactly what the time frame of that will be, because the timing of accruing patients and doctors takes time. But what I can say is there's a growing interest in the space. And I also say because we believe this is a large market opportunity, we are working to develop partners that can work with us in this space and some of that activity is currently underway. 
Operator: The next question comes from François Brisebois with Laidlaw. 
François  Brisebois: There's a couple of here. Any color on -- you keep mentioning that volume is a big reason for the thyroid growth. Can you break that down a little bit or still no guidance on that sense? 
Jack Stover: Yes. We really haven't -- we haven't really provided guidance on volume versus dollars yet. Stay tuned in 2018 as the whole revenue recognition model changes and we're really accounting for our revenue recognition on an accrual basis. I think we'll have more clarity around that, including the possibility, I don't want to promise it, but the possibility of providing additional guidance as to where we're going and the time frame of getting there. 
François  Brisebois: Okay, great. And then no more debt, which is great. Any more color on the growth of sales and marketing and then thoughts for potential M&A. What would kind of -- what are the criteria you would look at if ever you were to look into M&A? 
Jack Stover: Yes, let me answer your question first on the sales and marketing side. As you noticed from our cost in 2017 versus 2016, we invested in sales and marketing. I'm happy to say that we're getting the return from our investment in sales and marketing. Not to mention the fact that in the prior years, as cash was difficult to come by, while we didn't really reduce dramatically our sales cost, we did, in fact, reduce our marketing cost. So we're getting back to normal on that. What we are seeing, though, is that the -- the growth or expansion that we've done to date in terms of adding sales reps and expanding territories has paid off for us. And so our expectation is to continue to do that. Our target is to grow somewhere in the 20% to 30% range in terms of sales reps. And as it turns out, there happen to be a number of very good sales reps in the market that have a real good understanding of our space and so we might even be more aggressive than what I'm saying. What was your second question, Frank? I apologize. 
François  Brisebois: Just if you guys were to look into a little M&A action, are there certain criteria that you look at, whether it's accretive right away or whatnot? 
Jack Stover: Yes. I was so excited to talk about sales and marketing, I forgot to focus on the M&A side. So if you think about how we position ourselves, we position ourselves as a commercial company first. And that means that we really have strengthened the verticals that we've built in the endocrine and on the GI side. So getting additional products or assays in those phases where we already have deep relationships with physicians and health care systems makes perfect sense. But in addition to that, we're able to add other verticals as well, meaning that we may be able to just add a few sales reps. We may ask our existing sales reps to branch out and market a new product into a new vertical because we already have the back end and the front end in terms of the commercial infrastructure in place. As I say to people when Interpace was being incubated inside of PDI for several years, somewhere between $7 million and $10 million a year was invested in the commercial infrastructure that we have taken advantage of today. So it's pretty exciting. All that being said, on the M&A front, we are seeing lots of opportunities. There are a lot of small private and public companies in this space that have great technology, good products and some sales, but have difficulty with the commercial side because all of a sudden they recognized that all the money they spend in R&D getting to where they are, they need to spend it again to be able to launch a product. And we already have that infrastructure in place. So that's one place that I see where the opportunity is. From an accretive point of view, I think there's 2 ways to look at it. One is, accretive products are great, and being able to license them in and bring them in is tremendous. But we're also looking further out in terms of where we see the future and the opportunities in the future and being prepared or being willing to invest in future opportunities that require a small amount of development and have a lot of research that's already been done in areas that we believe in, in terms of expansion is an area that we look at every day. 
François  Brisebois: Okay, great, very helpful. And then, just lastly, if we were to look at 2018, here, you've got a clean sheet with the -- a cleaner balance sheet here. What are the main catalysts that we should be looking at here? 
Jack Stover: Main catalysts for 2018? 
François  Brisebois: Yes. 
Jack Stover: Yes. If you hold on a minute, at the end of my presentation, I'll tell you what we consider to be the 5 or 6 key catalysts that are really coming up. 
Operator: Next question comes from Yi Chen with H.C. Wainwright. 
Yi Chen: First question is, in the fourth quarter of 2017, obviously you had a much better gross margin. So for 2018, what should we expect for in terms of gross margin? Should we expect a continuous improvement throughout 2018? Or should we expect to remain relatively stable at the level shown in the fourth quarter 2017? 
Jack Stover: Yes. As we look at 2017 and compare it to 2016, I guess, there's a couple of things that are driving that, right? One of which is scale, and certainly we're hopeful of scale increasing. But the other is, as we reduced our royalties, the royalty impact had a sizable impact on gross profit. So overall, what I would say, Yi, is that everything else being equal, we expect to see improvement on the gross profit and the gross profit line, but we're likely not going to have a situation where royalties or additional royalties are being reduced from our cost of goods sold. So I guess, the way to answer that is to say that, yes, we're planning on additional gross profit growth, but not at the same level we had in 2017 over 2016. 
Yi Chen: All right. Second question is, as you increase the sales force and increase the sales volume, both ThyGenX and PancraGEN throughout 2018, do you expect the mix of the volume to change a bit? What I mean is that, currently, Medicare represents 40% of your ThyGenX volumes. Do you expect that by increasing the volume that the non-Medicare samples can actually represent a higher percentage of volume? Or they should remain relatively the same as now? 
Jack Stover: Yes. I guess, the way I'll look at that is that's a relatively broad sampling that you're looking at. And unless something happens at the government level or in the insurance arena, I see that mix being relatively constant. In addition, if you look at it, when we compare it to PancraGEN, PancraGEN is almost the reverse, right? And a lot of that has to do with the age of a typical patient. The age of a typical pancreatic cancer patient is over 65. The age or the identification of a typical thyroid cancer patient is below 65. I don't see that changing. 
Operator: Next question comes from Pierre Goovaerts with BioMedware. 
Pierre Goovaerts: Okay. It's a great work and a bit. We're getting the recent product by the recent progress by the company. So no, I'm actually a major retail investor actually. I think I own 1% of the shares of the company. And I have a few questions for you, some are more technical and other related to the movement of share price that's being very disappointing lately, to say the least. The first question is, I found actually a paper published in January 2018 in the journal of Science Translational Medicine. And one of the authors, which was Dr. Nicholas Shaheen from the University of North Carolina, Chapel Hill, actually acknowledged the financial support from IDXG for his research and it was actually on Barrett's Esophagus. So I was wondering how is this research funded and why -- and are there other researcher that IDXG is funding right now? 
Jack Stover: Yes, Pierre. We -- I don't know if I'd say we are funding researchers, but we are continually funding research. So if you look at our primary assets in terms of our thyroid assays, pancreatic cancer assays and BarreGEN, we are funding trials in that currently. So when we look at the trials and the clinical activities we're involved with, they're typically in 2 different areas. One is clinical efficacy, right, and the other is clinical utility. The clinical efficacy is the primary basis for determining whether we have a product or not. But the clinical utility, which oftentimes is prognostic, meaning, looking forward is, how does the physician change his practice or change his business? How does it reduce cost in the overall cost structure? And is this is an asset that's beneficial to hospitals and physicians? That takes time. It's very similar to a Phase IV scenario in therapeutics, where after you get a product approved and on the market, we've got to continually fund and support the research behind it. And that's really what we do. And if you look at it, I think we're pretty clear and actually excited about the research that does take place and -- at the major congresses or conferences. We're presenting either posters and/or presentations themselves. And that will continue into 2018. Dr. Shaheen is somebody we worked in the past and we'll continue to work with in the future. 
Pierre Goovaerts: Okay. I think it's great opportunities. Second question, and in my last call, I asked question about Rosetta's products and the IP. And then, as you know, since then the company has been acquired by Genoptix. Any strength to the fact that, no, this company is much bigger, has the right to market and distribute the products worldwide. What effect do you think it will have on IDXG and some of the tests? Or you don't think it's going to change anything? 
Jack Stover: Yes. As we look at the intellectual property, obviously we've done a thorough evaluation and we determined that the intellectual property that they have and the intellectual property that we have is not overlapping. Of course, that always can be challenged in court and you'll never know the answer to that. Obviously, too, we've been in the market for several years with Rosetta. And if you look at our growth, then our market share compared to theirs, they haven't been a real threat to us. With the acquisition -- and by the way, the acquisition failed, I think, 2 times and it's now on its third attempt. So there's likely no guarantee that the acquisition is going through, unless there's been some recent communication. But for the time being they're in the marketplace, but I will tell you that from our sales reps' point of view, they're certainly less aggressive than they were, say, 3 or 4 months ago. What will -- what Genoptix will do with the Rosetta assay, I'm not sure. I will tell you, though, that Genoptix, in terms of their Medicare MAC, is in a difficult MAC to be able to gain broad-based reimbursement from. 
Pierre Goovaerts: Okay. Since we are talking about products. Is there any product in the pipeline that investors can be looking out for? I believe that you mentioned in the past, future acquisition in one of your latest interviews. Or is it something you will have to share at the end of the call? 
Jack Stover: We'll talk a little bit about it broadly. But obviously, it's hard to talk about specifics without actually having accomplished or done. But on the M&A front, we're very interested, we're very active. We're in a position now where we can actually take advantage of opportunities that we're seeing. And in some ways, we've been overwhelmed with opportunities. So it's a good place to be. 
Pierre Goovaerts: Okay. Do you have any updates on the expansion internationally? I mean, the sales outside the U.S.? Or... 
Jack Stover: Sure, and we haven't said this. We didn't talk about it in the earnings call per se, but our -- we haven't really done any additional expansion beyond what we've previously mentioned. Our international sales are certainly minimal compared to our domestic sales. The expansion that we've had, if you look at marketplaces, I'd say the greatest success we've had has probably been in Canada, which is probably no surprise. 
Pierre Goovaerts: Okay. As you mentioned, there's been a lot of positive news regarding coverage and then you now have a 40% higher reimbursement for your test that's going to start in January 1. So when do you expect to be cash flow positive? Any prediction? Should it be this year? 
Jack Stover: So cash flow positive is determined based upon a number of things, including where we make investments and the return issues, et cetera. So we're very careful about that. For example, we've been making investments in our sales and marketing. And that, initially, would look like it expands out or pushes out getting to cash flow breakeven. But in fact, we've had a very good experience in taking those sales reps and getting them accretive relatively quickly. We'll likely continue to do that. On the R&D side, as I mentioned, we have additional investments in R&D, mostly on the clinical side. And that's a longer-term support process, which, again, can push out the cash flow breakeven. All that being said, what we believe based upon our current basis is that, on a run rate basis, as we get to the $25 million a year in terms of net revenue, based on our current mix, we get really close to cash flow breakeven. And as I -- well, we don't give guidance on the sales yet, but we're certainly progressing in that direction. 
Pierre Goovaerts: Okay, those are great news. I want to touch a little bit about the share price and it's been going down, even since the last earnings. I think the last time we talked, it was $1.30 or even $1.40. And it looks like the share price cannot only gain, even with good news. It just spikes and then just comes back down. So I was wondering, are there any new warrants that's been fully exercised now? There was one, I think, in the $1.20 and you mentioned the $1.80. Is it the reason for this movement in share price? And also, there's been recently a few analysts who issue a target price between $3 and $4.50, I believe. And so there's kind of a disconnect between the target price and where we are right now. So nothing to say further. The long-term investor, they've been around for a year and just are very patient. 
Jack Stover: Yes. So as you know, it's difficult to comment about the share price. All we can really comment about is performance. And as I said, I've been very, very pleased with performance, including now that we're able to show or demonstrate quarter-after-quarter growth. I think many of the investors were concerned that, gee, maybe we were just a flash in the pan and I think we're beginning to demonstrate more than that. So if you take a look at sort of the simple basics of our stock, when you look at our share price, and I don't know what the share price is today, it's probably somewhere around a little less than $28 million in terms of our market cap, somewhere around that. And sitting with around $15 million in cash, when you look at the enterprise value, it's very, very low in terms of where we are. And I think that's where the interest is from investors. They see that there's a sizable upside potential in terms of just the valuation. As you know, we've had our share price escalate around good news dramatically. We've had it drop around good news and we're certainly looking for ways that we can, let's say, solidify our stock price and get it more in line with some of our competitors. We're pleased to have new analysts in terms of coverage. We think that's a great step in the right direction. But maybe most importantly, as we were raising money in 2016, it seemed like every time our stock price jumped up, we raised capital into it. We're happy and pleased to be sitting with $15 million in cash at year-end. But that's also a fair amount of sustainable capital for us that we're not being forced into the marketplace to raise capital under any situation. And perhaps our investors will start to recognize that the price of the stock going up is a good thing, not something to be afraid of. 
Pierre Goovaerts: Okay, yes. You mentioned the warrants and I know that it was also mentioned by your colleagues. So can you comment about the situation right now about how many are still out there? 
Jack Stover: Pierre, I don't have the exact number of warrants that are out there. But we have one tranche of warrants at $1.25. We have another tranche of warrants at $1.80. And last year, when our stock price was in the $1.30, $1.40, $1.50 range, effectively, we brought in about $5 million of capital from those $1.25 warrants and exchanged out a portion of them for $1.80 warrants. Listen, we're excited and enthusiastic and hope the stock price increases and that those warrants become capital to us, if not, they expire over several years. So we don't see them really as a negative. 
Pierre Goovaerts: Okay, my last question. And what I've noticed actually since December of last year, the number and the frequency of the press release has kind of dropped substantially. Just have like one every week, and then any reason for that silence, kind of silence, like we don't hear any news for a few weeks? 
Jack Stover: Yes. Pierre, I don't know that. Meaning, a press release is a press release. Meaning that when we have news to report, that's what we do. And we expect to do that. But it's certainly not a strategy or plan to reduce or increase press releases. As a matter of fact, as the business grows, I would suggest that the opportunities for more press releases are probably more evident. 
Operator: And gentlemen, there appears there are no further questions in queue at this time. I'll turn the conference back over to you for any closing remarks. 
Jack Stover: Shannon, thanks. Yes, overall, 2017 was a terrific year for Interpace, no matter how you measure it. We reestablished our financial viability while growing and launching new products. As we look at items that could be inflection points for us, in 2018, we would include the following, however none of these are assured: expanding our sales force to continue to accelerate our sales growth; launching new products in thyroid, especially as we progress with the next generation of our assays; seeking to expand reimbursement across all product lines; accelerating development of our potentially undervalued bioinformatics assets; partnering BarreGEN and adding additional clinical support for PancraGEN thyroid and BarreGEN that's currently underway. 
 It's also important to note, as reported last week in The Wall Street Journal, that going forward, under FDA Commissioner Scott Gottlieb, the FDA has begun to ease the path to market of LDTs, or laboratory-developed tests, like ours, and we think that really bodes well for us and other companies in our space. 
 Accordingly, we hope to have many exciting developments over the next few months and look forward to updating you on our progress. Thank you all for your continued support and assistance. 
Operator: Thank you, ladies and gentlemen. That does conclude today's conference. We thank you for your participation. You may now disconnect. 
Jack Stover: Thanks, Shannon.